Hilde Nafstad: Good afternoon, ladies and gentlemen. And welcome to the Statoil’s First Quarter Earnings Presentations and Conference Call. My name is Hilde Nafstad, I’m the Head of Investor Relations in Statoil. Before we start, let me say that that there no fire drills planned for today. So, in case the fire alarm goes off, you will need to exit through the two doors in the back of each side of the room. And continue on towards the same sides. This morning at 7:30 Central European Time, we announced the results for the first quarter of 2011. The press release regarding the results was distributed through the wires and through OSLO stock exchange. The quarterly report and today’s presentation can as usual download it from our website, statoil.com. There a link directly to the presentation on the front page of statoil.com. I will ask you to kindly take special note of the information regarding forward-looking statements, which can be found on the last page of the presentation set. Please note, that questions can be post by means of telephone. Questions cannot be posted directly from the web. The dial-in numbers for posting questions can be found on the website. The operator of the conference call will explain the procedure for posting questions over the phone immediately before the Q&A session starts. It is now my privilege, to introduce our Chief Financial Officer, Torgrim Reitan.
Torgrim Reitan: Thank you, Hilde and good afternoon everyone. It is a pleasure for me to present our results for the first quarter 2011, a quarter with very good progress within key areas. The production has developed as we planned and it is satisfactory in the first quarter. It is in line with my expectations so far. We have had significant progress when it comes to putting new production capacity on stream or demonstration plant, at Leismer in Canada and the field developments, Peregrino in Brazil are both on stream currently. Both of these are examples of large developments that are now put into production. And these fields, they are in ramp up phase and are both long lived assets. And they will contribute with more than 70,000 barrels per day in new capacity through Statoil. Furthermore, we have now closed the sales process of selling 40% of both of these assets which we used to own 100%. And those transactions, those are generating proceeds of more than NOK 30 billion and accounting gains of more than NOK 14 billion. You should please note that it is only the oil sand transaction that is part of the first quarter results, the Peregrino transaction, that was closed in April, and that belongs to the next quarter. So, through these transactions, we have demonstrated how we create value. We have applied our North Sea experience and competence through large and complex developments and we have demonstrated value creation through the portfolio optimization. Furthermore, we have sanctioned new projects in Norway, in Canada and in Algeria. Vigdis North and Kathla (ph) in Norway, those are both part of the fast track portfolio of projects, Hibernia in Canada and the In Salah Southern Field in Algeria. In February, I told you that we sanctioned 20 projects in 2010 and that we planned to sanction 40 more projects in 2011 and 2012. And this is still valid and it is good to see that we progress as planned when it comes to project development. Furthermore, we have had significant success with this regard discovery in the Barents Sea. And this represents a significant progress in the region and it is strengthening our belief in the potential in the Artic areas. And we’re also very satisfied with the awards in the 21st Licensing Round on the Norwegian Continental Shelf where we secured new acreage in the Barents Sea close to this regard discovery. And in addition, we had acreage in the interesting part of the Norwegian Sea, actually very close to the Luva discovery. We have also made a discovery in Brazil that is close to the Peregrino fleet, and it’s firming up on volumes for further developments in this area. And in that area, oil campaign will continue with further drilling activity. We have also got drilling permits in Gulf of Mexico and we are actually the only company that currently holds two drilling permits after the Moratorium. And I expect that we will resume our drilling activity soon in that area. So lastly, I am satisfied that we have accessed new exploration acreages as well in Deepwater, Gulf of Mexico, excuse me, in Deepwater in Angola, the pre-salt Angola and in Kazakhstan, through the heads of agreement of the Abay block in the Caspian Sea. So, overall, I’m very satisfied with the strategic progress during the quarter. Then, over to production. Over production this quarter is satisfactory. It is in line with my expectations. However, it is not more than we need to be in line with what we have guided at. The reason for equity production being 6% below first quarter, we discussed in February at our capital market update. And first of all, Gullfaks is currently not producing at full capacity. And this will have an annual or yearly impact of around 13,000 barrels per day. The production at Gullfaks is stabilized and we have not had negative surprises from the field and these reservoirs. But it is still too early to conclude on when we will increase the production from the Gullfaks field. I’m also pleased to see that we are bringing new fields on stream in line with what I have told you. And started and the initial production from Leismer and Peregrino have been in accordance with what I expected. But, I will remind you that they will gradually be building up production and you should not expect to see significant production contributions before we get closer to the end of 2011. Gas production this quarter, has been strong, it has been in line with normal seasonal patterns although somewhat longer than first quarter 2010. The winter months will normally have significant higher gas production than the summer months and this year will be now exception. As you know we have reduced production permits related to the fields Ormen Lange and Troll, both of those fields produced well during the first quarter and they reduced permits, they will mostly have an impact in the second and the third quarter this year. All right then over to the earnings. This quarter we have delivered operating results, the third largest operating results in Statoil’s history. And the quarter has been characterized by high oil and gas prices and the net operating income came in that’s NOK 50.7 billion. And this is an increase of 28% compared to first quarter last year. And as usual, we are just for certainly items in the accounts to make the quarters comparable from an operational point of view. And the NOK 3.4 billion of adjustments in this quarter are mainly related to the partly divestments of our oil sands position, while we booked the gain of more than NOK 5.5 billion. Furthermore, we reversed impairments related to the re-gas facility Cove Point in the US that amounted to NOK 1.6 billion. This was partly offset by an under-lift situation in the quarter and by change in fair value of inventories. A search we delivered adjusted earnings of NOK 47.3 billion and that is an increase of 22% compared to the same period last year. Liquid prices increased by 33% and gas prices increased by 20% and that impacted the accounts with NOK 17 billion in the quarter. Our production was as expected lower this quarter and that contributed negatively with NOK 5 billion compared to the first quarter last year. We are stepping up exploration and our exploration cost increased by NOK 0.6 billion in first quarter compared to last year. And that is mainly related to increase drilling and increased field development cost in the early phase. Lastly, we see a slight increase in operating expenses MD&A and that is due to more fields coming on stream and the increased estimates related to abandonment cost. So, the adjusted earnings after tax decreased by 2% and that is due to a high tax rate on adjusted earnings. This is largely cost by a higher income from the (inaudible) of some activities and consequently higher taxes and higher tax rates on our international activities. Now, we come back to tax in more detail, in a few minutes. Then some details on the various segments. After the reorganization of Statoil, we have made some changes to the segment reporting, we do now report on three operating segments in addition to Statoil fuel and retail. Development and Production Norway delivered adjusted earnings before tax of NOK 39.4 billion and that is a 35% increase compared to last year. The increase was mainly due to 33% higher oil prices in NOK and 38% higher transfer price of gas between MPR and DPN. And increase prices contributed with NOK 14 billion in higher revenues compared to last year. This is partially offset by a lower year-on-year production of oil and gas and that’s contributed negatively with NOK 3.3 billion. Furthermore in that segment DD&A increased by NOK 1 billion due to new fields coming on stream and then updated removal and abandonment cost estimate which we have mentioned earlier. Development and production international, they delivered on adjusted earnings of NOK 5.2 billion and that is a 16% year-on-year. The increase was mainly due to 33% higher oil prices in NOK and that contributed with NOK 3 billion in increased revenues. This is partly offset by lower equity production due to suspension of production in Libya and lower gas nominations on partner operated fields internationally. In addition, we have higher exploration expenses and that was mainly related to expensive, expensing of the kiwi well in Egypt. Marketing, processing and renewals, MPR as we now call it, they delivered an adjusted earnings of 3.7 billion and that is 47% decrease compared to first quarter last year. That decrease that was mainly due to that the transfer price between MPR and Norwich (ph) offshore area increased by 38%, while the realized gas price increased less with 20%. Furthermore to contribution from the marketing and trading activities was less in the quarter due to lower margins from our short term sales. Also, the ownership share in Gassled is reduced from 32.1% to 28.5% that was welling from 1st of January. And this is in accordance with the ownership agreement that we have put in place when Gassled was established 10 years ago. And lastly, within that segment, there has been a loss in recruit processing, trading and marketing due to weak trading results from trading gas liquids and from lower refining margins. Okay, then over to tax. The tax rate on reported results was 68%, both the gain on the oil sands assets in Canada and the reversal of impairment at Cove Point have very low tax rates. And this is the main explanations for the difference between tax and reported results and adjusted earnings. The tax rate on adjusted earnings also deserves attention this quarter both because the total tax rate was higher than previously guided, but also because the tax rate in the segments differ from what are normally expect to see. Firstly, the higher share of the earnings derived from the Norwegian Continental Shelf, but the tax rate is higher and this produced the average tax rate up. Secondly, the tax rate for development and production Norway is high due to relatively lower effect of the uplift in an environment with high oil prices. We have then we invest in Norway, we can from a tax point of view depreciate the assets with 30% in addition to the full investments and that can be done over six years. And the impact of that additional tax value on the margin is less, when the oil price is high, the impact of that is less in totality when the oil price is high. So, that is part of the explanations. And you should expect to see a tax rate on development and production Norway close to 74% going forward if the current price environment persists. The tax rate within development and production international is impacted by the dry expiration well in Egypt. In Egypt we have no tax shield. We have also had one-off tax adjustments in the international business and in addition our relative high share of the income this quarter comes from Angola, from Algeria and from Nigeria. In these countries the tax rate is rather high and around 50%. We have previously guided on the tax rate internationally around 40% to 45%. However, in the short term, you should a somewhat higher tax rate within this segment and I expect to see it to be around 50% to 55% for the time being. In a couple of years when production from Brazil and North America steps up I expect the tax level to be reduced. Within the MPR segment, the tax rate is a consequence of the earnings compositions within the segment and the contribution this quarter is mainly from the natural gas area where the tax rate is relatively high and I expect going forward to see a combined MPR tax rate around 70%. But, you should expect the tax rate within this segment to have some volatility, I mean based on the composition of the earnings which will vary from quarter to quarter. Our guiding on the adjusted tax rate on the quarter level has not changed and it remains in the range 70% to 72%. The change in the short term outlook for tax rates internationally implies that I expect the tax rate towards the up brand of the range for the rest of 2011. Then over to the cash flow. We had a very strong cash generation in first quarter driven by high oil and gas prices, good production as well proceeds from sale of assets. The cash flow from our underlying activity amounted to NOK 57 billion in the quarter, we paid NOK 16 billion in tax that was in February and the cash flow used in investing activities amounted to a gross investments of NOK 19 billion. However, the net investments ended at NOK 8.7 billion that is due to that we adjust from the proceeds from the sales of assets and that is related mainly to the sale of the stake in the oil sands Canadian oil sands business. As a comparison, in the first quarter last year, the net investment was NOK 19 billion. So, the underlying cash generation for the quarter after investment and taxes was a such NOK 32 billion before other financing activities. For the next quarter we will have two tax payments each of approximately NOK 14 billion, in June we will pay approximately NOK 20 billion in dividends however, the proceeds from the Peregrino transaction is received and safety in our accounts, but they will be part of the next quarter’s cash flow. So, you should expect a quarter with large payments in and out. Then to the balance sheet. The balance sheet continues to be strong and the net debt to capital employed is 19% end of quarter and that is a reduction from 25% at year end. Then over to forward-looking statements and guiding. As I said at the start of my presentation, our first quarter production was in line with my expectation and in line with what we need to meet our guiding but not more than that. Our view for the rest of the year has not changed and our production guiding therefore remains for 2011, we expect that to be around 2010 level or slightly below and I will use the opportunity to remind you on what I said in February. When comparing 2011 with 2010 production the risk is more on the downside than on the upside and this is still valid. There is some certainty related to the new fields ramping up and we have extensive maintenance program and there will be gas off take on uncertainties. And please note for the next two quarters seasonal gas off take and maintenance will leave with a substantially lower production level than in first quarter. The winter months will normally have significantly higher gas production then the summer months and this year will be no exception. In fact, the reduced permits for 12 Troll and Ormen Lange will mostly affect the production in the second and third quarter of 2011. Then maintenance, you might remember that last year was impacted by heavy maintenance for our gas facilities in the third quarter. This year as well we will have maintenance that affects both liquids and gas production and I expect a maintenance impact of approximately 100,000 barrels per day in the second quarter, around 70% of this will be related to liquids. I also expect that a total maintenance impact to be around 50,000 barrels per day over the year and this is also mainly related to the liquids production. Important things to note is that this year the maintenance will be more evenly spread over the next two quarters then last year. And my last point on the next two quarter is related to the Norwegian Continental Shelf. You can expect the production from the Norwegian Continental Shelf for second and third quarter in 2011 to be somewhat lower than the total production from the Norwegian Continental Shelf in the same quarter in 2010, but the NCS production will be more evenly distributed between the quarters this summer. With regard to exploration activity and organic investments we maintain the guidance for 2011. So, that concludes my presentation and thank you very much for your attention and then I will revert to you, Hilde who will lead us to the Q&A session, thanks.
Hilde Nafstad: Thank you very much, Torgrim. We will now turn to the Q&A session and for this session Torgrim will be joined by the Senior Vice President for Accounting and Financial Compliance, (inaudible) Thomson (ph). This session will last for approximately 15 minutes. I will ask you to please limit yourselves to one question at the time. For the audience in the room please raise your hand if you have a question, microphones will be passed and please keep the microphones close to your mouth. Please state your name and your company. Operator, can you please explain the procedure for asking question over the telephone.
Operator: (Operator Instructions), thank you.
Hilde Nafstad: We will first take questions from the audience here in Oslo and do we have any questions from the room? I cannot see any hands, so I suggest we then turn over to the audio conference. Audience are there any questions, operator.
Operator: Yes, ma’am we have three in the queue at this time and we’ll take the first question now. (Operator Instructions).
Oswald Clint – Sanford Bernstein: Hi Oswald Clint, here from Sanford Bernstein I’ll just try two quick ones please Torgrim. Firstly, just on upstream OpEx on a unit basis does seem to up quiet substantially even though you said, there was a slight increase in operating cost. Look’s to be up 9%, 10%, I wonder if you could just take about that what could be the major drivers of that, and that’s on a year-over-year basis. And second question just carries on our reversal, on the co-point re-gasification terminal, almost 12 months after you actually that done. In terms of why you riding back half of that provision from last year, thank you.
Torgrim Reitan: All right, thank you. When it comes to unit production cost, there is an increase year-over-year on that one. It is mainly related to cost related to start up production, and we’re in that the period now, where we are preparing for lot of startups, and the startups are coming later. And one example of that is the Peregrino field that started in April, where we had significant costs in the quarter, related to that field to get on stream. So that is the major part of that explanation. Going forward, we don’t give a specific target on the unit production cost, we see that it is slightly increasing, it is slightly increasing as we go, not much more than by inflation actually, so it is in that range. What we aim at is to maintain our competitive position when it comes unit production cost, we’re among the better companies on benchmarks, and we aim to maintain that competitive positions. Specifically, I would like to mention the Norwegian Continental Shelf, where we’ve heels in lot of different faces, we’ve some feels that are in the climb, and have very high unit production cost, we have fields with close to NOK 100 per barrel, and we’ve new fields with significantly lower, and we see that a new field actually compensates well for the more old fields, when it comes to unit production cost, and then the Norwegian Continental Shelf level. But you should expect this permit to increase slightly as years goes by. When it comes to Cove point, and Cove point expansion, we did quite some payments latter that last years. What has happened over the last year, is that we renegotiated the capacity related to Cove point expansion so that was on the explanation of the reversal that we did in, that was in the fourth quarter. The Cove point, and Cove point expansion is looked upon as one common asset from an accounting point of you, and related to this now with volumes. We see increased value of (inaudible) away from the US, so these Norwich Cargos are not going to that terminal they are going all the places at significantly higher prices. So, the value of that value chain is higher, when the spread is high. So that is the main explanation for the reversal of that one, so the value of our energy value chain is higher now, than we expected it need to be last quarter.
Hilde Nafstad: Operator. Next question please operator.
Operator: Thank you let’s go to next question now.
Unidentified Analyst: Hi, (inaudible) from Bank of America Merrill Lynch. A couple of questions, your gearing is obviously falling quite dramatically post the booking of the Canadian asset sale, and your looking to book Peregrino in the second quarter, so again you should see another substantial drop off in gearing. Can you just give us some color around how management is now considering the gearing level, are you looking towards acquisitions or shareholder distributions to address what is a very lowly geared balance sheet, and also just coming back on to the cost side, are you now in a period, where you feel that all the cost reductions, that you were aiming for in your previous targets have been achieved or do you believe that cost can remain under control, and you continue to cut cost, and implement initiative, are should we continue expect cost of the growing line with inflation, thank you.
Torgrim Reitan: All right, thanks. First giving it is a comfortable situation, when it comes to the balance sheets, and as a CFO it is all of a good place to be, whoever of course, this the situation that we monitor closely. The bet proposition I can give it you as investors is quite easy, it is actually through realized a great project portfolio that we hand we have more than 100 projects in the pipelines, we’re going to sanction 40 more over the next two years. And we’ve a lot of things to do in the portfolio, and those projects actually compete very well in the industry, when it comes to breakeven price, and average breakeven price is around $50 per barrel. So that is to me the best value proposition I can give, and the best way that I can use, that we can use the moment. Well that said, we’ve an investment program which is at $16 billion this year, and with the current price environment, and that is all gearing is expected to decrease if that persist. On your specific comments on M&A, of course, I appreciate the question. But, we’ll of course not answer that question, what I can say is that our radar screen is large it has always been, we’ve been quite actively in the acquisition and the divestment market of the last four to five years, so you should expect there to be activity on that going forward as well. When it comes to capital distribution we had suggested to the annual general meeting dividend of NOK 6 and 25 and that will be paid in June, early June. And we are also asking the annual general meeting for a mandate for share buyback, but please remember that is one thing that we have done for many years so that is just to have the tool box available as we always wanted to be fully loaded. So that is the guidance I would like to give along that well. When it comes to costs and cost reduction, we took all significant synergies after the merger that is more or less delivered. We of course had benchmarked ourselves heavily towards other companies and other peers when it comes to cost competitiveness, also beyond the unit production costs. We see that we compete well across most perspectives, but when that is said we can always be better at costs and that has still significant focus in the company. So, the initiatives that was implemented after the merger that has been delivered on, we are working constantly on the further reductions. And for instance, during the financial crisis, we said okay, we will have to do a quite a bit and we did and few examples, we reduced travel cost by, ticket was 27% in the company over a year, just one small examples that goes along a lot of categories. But, we are working seriously on further cost improvements going forward. I think that is important.
Hilde Nafstad: All right.
Unidentified Analyst: Yeah, thank you.
Hilde Nafstad: Operator, do we have more questions for the audience.
Operator: Yes ma’am, we do ma’am, we’ll take the next one now.
Unidentified Analyst: (Inaudible) Securities, I have two questions, first one is related to the NPR results reported for a week for sales compared consensus and you say that is due to difficult trading market and low natural gas margins. So, my question is how is the outlook for this division. Second question is related to the Peregrino how is conductor announcing for 10 April, is this is potential time counter that to the current estimation what is the role of potential of this discover. Thank you.
Torgrim Reitan: All right, thanks. NPR results and the question what we expect going forward, there are some stable elements of that results is the results from the Gassled and the transport and processing that will typically be a stable part of the results, the refining business, will fluctuate with the refining margins from quarter-to-quarter and then it comes to the more commercial units and they will typically also fluctuate, they depended on the market opportunities as they arise. So, with this hard to give a guidance on the level, you should expect it through the fluctuates, I would say that last quarter is sort of not very good results from the trading activities but it is expected to fluctuate. Just to give some flavors on the main drivers of the natural gas trading results that prices on the national balancing point was increasing quite rapidly through the quarter, we have always a lot of gas at hands that we need to sell and we cannot sell it on the day ahead basis. So, we need to be in front of the market, so we sell gas on before we actually get to the day when we have to deliver it. So that is, so there is a lagging effect in the results on the gas, while internal price between the upstream business is an average of the prices noted in the market in the period, so that explains part of it. On the oil side it was especially a link to almost the products, a strategy which was very profitable last year and this quarter it has impacted negatively on that strategy. But that strategy in whole is providing value, so that’s just exemplifies that the results will fluctuate dependent on the market circumstances. When it comes Peregrino results, I’m enthusiastic about it, we reached a 130 meter column of hydrocarbons, we have not stated the volumes related to it and so I’m not prepared to that currently but it proves that area where we have Peregrino is an exciting one it has potential beyond the Peregrino field and it serves as you know firming up volumes we expect someday it will be produced.
Hilde Nafstad: Thank you. Next question operator.
Operator: Yes ma’am, here we go.
Brian Mckenzie – Royal Bank of Scotland: Good afternoon, it’s Brian Mckenzie from Royal Bank of Scotland here. Thank you for the presentation. I have question on slide 7 on the cash flow, you show the cash flow of underlying operation is 57 billion taxes paid like 16 of that, can you help me reconcile please with the stated cash flow was provided by operating activities on 32 of the release which are NOK 30 billion for the quarter and some large moving (inaudible) capital section and the largest – the largest the increase in the current financial investments, if you could help me understand, that would be great. Thank you.
Torgrim Reitan: All right, thanks. I leave that to (inaudible) Thompson, attempt to that question.
Unidentified Company Representative: Yeah, you referred to page 32 of the financial review which starts with a 50.3 cash flow from operating activities and what we have done is adjusted for the next part which is called adjustments to reconcile to net income to cash flows provided by operating activities and the depreciation and expiration and the FX and the sale of assets and that’s altogether net 6.4 billion, that takes the 6.4 and the 40.23 up to 56.7. When you ask about the cash flow from operation, I also want to emphasize that for accounting purposes, the changes to financial investments and derivatives is an operational part of the cash flow, but it’s really for us part of the liquidity, what’s placed in the market between over and above three months is not cash and cash equivalent anymore, it’s on the operation. So, they build up the change of 13.2 billion is not really from commercial point operation it’s the financial deposits which we make in the market 3 to 12 months.
Brian Mckenzie – Royal Bank of Scotland: Thank you.
Hilde Nafstad: Do we have any more questions operator?
Operator: Yes ma’am, we do. One moment please.
Michael Rollins – Citi: Hi there, it’s Mike Rollins from Citi and I have got two questions please. Just firstly on the natural gas market in Europe, could you maybe give a better color as to what you are seeing currently from the outsource gas buyers and whether you are saying so the increase off take from your long term contracts currently given with (inaudible) spot prices at the moment and the fact that maybe they used in the incentives just take volumes under the long term contracts currently, because you seem to be talking down a little bit production for second quarter and third quarter. And then secondly, just on the gas slide, you highlight, you’ve might essentially sell your equity state in gas slide, could you maybe give a bit more color as to are you looking to complete the best of your state in gas slide or are you looking to take a partial sale or maybe you looked on the timing as to when we might see you looking to the divest of stake. Thanks.
Torgrim Reitan: Okay, thanks. First on the outlook and Europe gas markets, it has been a market you know, quite a bit of turbulence over the last few years, and you know in previous job, I had looked trading activities within natural gas. So, from 2009 and onwards we were actually surprised by two things, one was the strength of the recovery, and the demand recovery especially in Germany, and the second one was the increased demand for gas towards Asia. So that surprised us on the up side so the markets, so the markets firmed up quite rapidly. And I would say actually both of those two points are still valid going forward. So, the prices currently they are quite healthy, if you look at the spot prices. In the historic context, it’s around 2006, 2007 levels, ‘07 levels I think which is sort of good. And natural gas competes currently very well with alternative sources of energy. We see that in both the case, the German nuclear capacity is down and also the tragic situation in Japan after the Tsunami and earthquake has actually firmed this further. So, we see a European gas market where gas is attractively priced compared to alternatives. And where this, it is robust prices as we see it. I won’t speculate into the further development but it’s an okay market to operate in. And if you consider our position in this, you should remember that Norwegian gas has to travel one fifth of Algeria gas, one tenths of Russian gas and also, one eights of Russian Gas and one tenths of Qatari Gas Research. And we have low unit cost for our gas and we have access to all the landing points. So, we consider ourselves to be a very well positioned for what to come in that market. When it comes to Gassled and sales process, you are right. We are evaluating the assets and evaluating whether that has more value for others than for us. So, we are thinking about it. I will not go into any specifics on the timing of it. But you are right. We are thinking about that asset.
Michael Rollins – Citi: Okay, thank you.
Hilde Nafstad: Next question, please.
Operator: Yes ma’am.
Brendan Warn – Jefferies: Thanks, this is Brendan Warn from Jefferies, just one quick question, Torgrim. Just as I, (inaudible) horizon indicator of cost and a reflection of your cost reduction. Just can you make a comment on the trend of the total recordable and loss time injury frequency looks to be heading more trending back up to where you were in 2006, 2007?
Torgrim Reitan: Yeah, that was the loss time frequency. And so, they have, I mean, if you look at safety KPIs in general, it is a positive trend over the years. The serious incident frequency which is the one that we consider the most important one, we have reduced that significantly over the years. I think it was around 6 in 2006, and in 2010, it was 1.4 as far as I recall. And this quarter, it is 1.2. So, that is progressing well. When it comes to the other ones, I’m not prepared to answer in detail the explanations of those developments. But I can make a general reflection on the importance of safety, which is to our company extremely important. And we consider ourselves to be good in that respect. But we need to be better and better and better. And that we’ll encourage you to, there is a letter to the PSA authorities, after the Gullfaks incident, which was an important learning exercise for the company, that was an incident where we were the barriers functioned. But it had a potential, we agree to that. But as for us, it’s important that we never, never get complacent when it comes to safety, we need to be better every day on this one. We are progressing and have full attention to it.
Brendan Warn – Jefferies: Thanks.
Hilde Nafstad: Do we have any further questions from the audience.
Operator: Yes, we do ma’am. Just one moment, please.
Lucy Haskins – Barclays Capital: Good afternoon, Lucy Haskins from Barclays Capital. Torgrim, you talked about more downside risks to the production going through this year and talked about gas off take. Are you also starting to see a higher instance of unplanned maintenance on the NCS? And sort of, how much kind of contingency are you still building into your forecast for this year and indeed the treatment, (inaudible) growth rate out to 2012. By nature, the impact is slightly ageing, sort of productive capacity in that part of the world?
Torgrim Reitan: Okay, very good question, thank you. I deliberately said that is more downside risk than upside risk in production in 2011 compared to 2010. And I said that in February, at the Capital Market Update and it is still valid. So, the main risk elements were related to this year is ramp-up of production from new fields. It is maintenance that we are able to, to deliver on the maintenance program and step up the production after the maintenance program, which is as important. It is related to gas off take situation over the year. And it is also related to opportunities in the gas market to differ gas production to a later point in time. So, that is the main uncertainties, main uncertainties. Furthermore, we have not catered for large incidents beyond what you sort of should expect from a company like ours. You should expect that we will have unplanned losses as we operate a significant portfolio, that we’re catering for instance incident like the (inaudible) pipeline a few years back when somewhat tried an anchor over a pipeline and destroyed it. So, we’re not catering for that. Furthermore, we’ll remind you that we said 2010 level or slightly lower. So that is the wording that we use on it. So, we are, we have produced so far this year as I should expect but it is not more than what it should be. When it comes to unplanned losses so far this year, we have had some. If you look at the rate compared to earlier year, it’s approximately where it has been over the last period or such. So, there are no big changes in that respect.
Lucy Haskins – Barclays Capital: Many thanks.
Hilde Nafstad: Next question please.
Operator: Yes ma’am.
Jon Rigby – UBS: Hi, it’s Jon Rigby from UBS. Two questions on tax, just to follow up on Peregrino. On tax, can you just confirm whether the guidance you’re providing on the international tax rate is a permanent feature or just one this related to current producing conditions and oil price? Then the second, I almost hesitate to ask this, when you clean up your financial items, and still get a charge for the year. Your also show a charge on tax, a tax charge on a charge. I just wondered what was going on there and what we could expect on a cleaned up basis, what you’re tax rate would be on financial items? On Peregrino, can you just confirm, you receive some cash already. Is there a net cash to balance to receive while you’re getting the full amount in the second quarter? Thanks.
Torgrim Reitan: Okay, thank you. (Cody), you can start preparing for the question on financial items and tax. When it comes to international tax, I understood your question, whether this was a permanent change in the tax, expected tax internationally. I mean, the tax rate in this quarter was very high in the international segment. You should also expect it to be 50% to 55% over the next year or so. We have earlier guided on 40% to 45%, so yes, in the short term you should increasing in the tax rate internationally. However, Peregrino is steeping up. And our production in the U.S. and Canada is stepping up, with a much lower tax rates, so that will drag it down over a couple of year as such. So that is what you should expect, and then just a reflections on all these things to lookout for in the international segments, when we’re drilling wells, if we’re drilling wells in countries, where we don’t have tax protection, or tax position it will typically impact more on the tax rate, than else for instance the key reveal this quarter. And we in the late quarters, we have had dry wells in the Gulf of Mexico and in the US we don’t have tax protection either for accounting proposes. So, dry wells in those areas will typically drag up the tax rate, and within the international segments, when it comes to Peregrino, yes, we’ve received the money related to Peregrino that was received in late April, so that it’s in our accounts.
Jon Rigby – UBS: That was all, the full amount this Peregrino had you received?
Torgrim Reitan: Yes, that was the full amount, and fully paid and sits in our accounts, so that is fully received. The tax rate on financial items is hard run to predict because it all depends you have in the group we could have terms in or losses in one jurisdiction in another jurisdiction and also the tax rates very, very much from approximately 20% up to 60% to 65% for the net financial items, and especially when the net financial items come down to zero, it could up, it could be any percentage the tax rate as it is now, it’s minus 114% (ph), but what we say if have to say a figure which should be an average figure, we’ve set 40% to 45% on the net financial items. But that is the tax item which can vary the most in the whole composition of the tax.
Jon Rigby – UBS: Okay, thank you.
Hilde Nafstad: What I think we’ll ran off with one last question if there are any more questions in queue.
Operator: Very good, Ma’am we actually do have one question, I’ll put up in right now, please hold.
Stephan – Morgan Stanley: Hi, it’s Stephan here at Morgan Stanley, just a couple of follow questions. Firstly, could you just on volumes could you gives us an estimate what you think year end production would be for a Peregrino so the exact right. And then secondly just if could give us an update in terms of, where we are on sort of final investment decisions, there are some of the key projects for this year. And then, lastly I think on the (inaudible) announcement you suggested the potential for an appraisal well, I know you’re going to be drilling another well on the license, for the next year, I was just wondering, when do you that appraisal well maybe drilled.
Torgrim Reitan: Okay, the year-end production on Peregrino, we’ll not give an estimate on that one, what I can say is that it’s going to be fully seven wells in that license, and they will have each of them have a significant contribution as well, I mean we’re progressing on preparing the wells and these wells tied up already, so the step up is progressing as expected when it comes to Peregrino. When it comes to key projects for this year, step up we have on Peregrino, we have Scarb (ph) as key projects for production in 2011 that is a BP operated and that is expected to start up in the second half of the year. We have (inaudible) which is put all operated license in Angola that is going to have a large impact in 2012, but we expect it to start up in the very end of 2011 and then I would like to mention, Shelf Eagle Ford and Marcellus which are stepping up. We have re-cruise and frac cruise available that we need to build up and it is building up as expected as such. But that is as you know invest and drill as you go so that might vary going forward on the step up related to that. Yeah, so that is the main contributors to 2011 step up production. Then you last question screw garden appraisal well, I mean we are sort of enthusiastic about the year and so on and we have more work to do up there. I am not prepared to discuss on when that is going to happen, but it is important to firm up the volumes in that area and so on, so we can mature it even further.
Hilde Nafstad: All right, thank you. Unless either any further questions in the room here in Oslo. One last question.
Unidentified Analyst: On the announcement again, when it comes to natural you previously indicated that based on contracts renegotiated, it’s basically 70% that you sell oil linked and 30% that you see in these markets, if that’s also good indication going forward if you assume relatively high uptake?
Torgrim Reitan: I think just a second. I think there are couple of points I want to make in that respect. First of all, we have in 2009 when we faced a significant drop in annual prices, we renegotiated the contracts we were early out in that respect and then we had a grace period for three years as such. So what we did was to pitch some more spotting decisions into the gas formulas as such together with that we had excess capacity to pipelines and liquid markets as such so we could operate that. When that said, when it comes to the mix of spots going forward, you should expect actually this year to be less, I don’t have specific numbers in front of me here but you should actually expect the exposure to spot to be less this year than last year. So that is but we can say is that if you look at the long term contracts around 70% of that volume is linked to oil and gas products as such that is still valid and there is a certain amount of gas with outside the long term contracts as well.
Hilde Nafstad: Thank you, I think that will have to conclude our Q&A session and also our program for today. Today’s presentation on the Q&A session can be replayed from our website and in a few day transcripts will be available. Any further questions can be addressed to the Investor Relations Department. Thank you all very much for participating and have a good day.